Operator: Hello, and welcome to the Plug Power’s Third Quarter 2020 Earnings Conference Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to turn the call over to Teal Hoyos. Teal, please begin.
Teal Hoyos: Thank you. Welcome to the Plug Power 2020 Third Quarter Earnings Call. This call will include forward-looking statements. We intend these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. We believe that it is important to communicate our future expectations to investors. However, investors are cautioned not to unduly rely on forward-looking statements, because they involve risks and uncertainties and actual results may differ materially from those discussed as a result of various factors including, but not limited to risks and uncertainties discussed under Item 1A Risk factors in our Annual Report on Form 10-K for the fiscal year ending December 31, 2019, as well as other reports we file from time to time with the SEC. These forward-looking statements speak only as of the day in which the statements are made, and we do not undertake or intend to update any forward-looking statements after this call. At this point, I would like to turn the call over to Plug Power’s CEO, Andy Marsh.
Andy Marsh: Thank you, Teal. And thank you for joining Plug Power’s Third quarter conference call. I just like to provide a few minutes overview. Please refer to our Investor Letter for a detailed description of the past quarter. First, I’d like to highlight our operational performance. Company achieved $126 million in gross billings. This represents 106% increase from the third quarter of 2019. Second, this quarter is really a strong validation of our business model in years to come. I think many of you know we’re targeting 20% EBITDA on 2024. We achieved 19% EBITDA on an adjusted basis this past quarter, generating $21.2 million of adjusted EBITDA. The cost of warrants greatly increased this past quarter, because of our increasing stock price, which can hide this significant achievement. Third and just to highlight the acceleration of our business, in all of 2018, we shipped approximately 5,000 units versus the 4,000 GenDrive units delivered the past quarter. We also built 13 hydrogen fueling stations this quarter, again, another record. This business is growing as expected. And we’re moving in to on-road vehicles and large-scale backup power systems. First, on on-road vehicles, we have dealt with Linde, Doosan, and Lightning. We also have a fourth large OEM, which we are deploying vehicles for testing in Europe. Our approach to the on-road vehicle market is really straightforward. Partnerships or ventures with large OEMs, which may require some product modifications on our part for large-scale business and standard products for integrators and low-volume applications. Now, the reason we can do is, because of high density of our ProGen module, which is 30% to 45% higher power density than our competitors, making our products easier for customers to integrate into existing battery electric vehicles, very similar to our approach to electric forklift truck. These same ProGen building blocks we’ve developed for on-road vehicles is leveraged into our large scale backup power solutions. We’ve closed deals for this product and we’ll be deploying units at the end of the second quarter 2021. I become increasingly more excited about this opportunity to both data center customers and now I’m finding logistic customers. The same restrictions eliminate deployment of internal combustion engines in certain regions for vehicles they’re now also seeing similar regulations impacting the deployment of diesel generators for large-scale backup power systems. Fuel cell and hydrogen, because of energy and gravimetric density, have the same advantages in the market, as on-road vehicles versus batteries. Example that I have been told from both the logistic customer and the data center customer, that the regional restrictions are real. For example, California is informing customers that they must prepare to have 96 hours of backup power, because of the instability of the electrical grid. And by the way, they say, you can’t use diesel gen-sets. We believe that hydrogen fuel cells are really the only viable solution to meet these requirements. As more – and I think that’s more important in my opinion, I think you’re hearing end-customers say the same. I also like to highlight our progress in building 5 green hydrogen plants that will generate 100 tons of green hydrogen by 2024. We announced partnerships with Apex and Brookfield to provide a source of green hydrogen through solar, wind or hydro power. We’re in the design phase for 2 of our new hydrogen plants, and expect completion by the end of 2022. We are leveraging our expertise in operating and designing plants from our recent United acquisition, and ability to convert renewables into green hydrogen from our acquisition of Giner ELX. The demand for green hydrogen is closely tied to our present customers’ sustainability goals. Plug Power is projecting that by 2024, our own internal demand will approach 100 tons per day. With another note of interest to investors, our gigafactory is progressing. And with the election now over, we expect an announcement will be forthcoming for the location. The equipment to support the gigafactory is on order. And we expect first production in late Q2 2021. And finally, I like to highlight that we will be increasing our gross billing target for this year from $310 million to $325 million to $330 million. The demand for our products will continue to grow. And this will be another record quarter. Paul and I are now ready to take questions.
Operator: Thank you. We’ll now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Colin Rusch from Oppenheimer. Your line is now live.
Colin Rusch: Thanks so much and, guys, congrats on all the progress. Can you guys…
Andy Marsh: Thanks Paul and Drew.
Colin Rusch: Hey, Andy. It’s always good to hear your voice. As you’re looking at these hydrogen plants, can you – and I know you’ve done a lot of work on the financing side, can you just give us an update on where you’re at the number of partners, you’re thinking about working with on the finance side, and any sort of detail around deal structure that you guys might be looking at, at this point?
Andy Marsh: So, Colin, I’m going to – I can tell you a little, and then I’m going to kind of punt on the remainder of your question. But just to kind of give some guidance, we do expect to break ground on 2 of these plants, one with a Apex, one by Brookfield, by the end of the year. When we look at the finance side, I probably would be thinking about 30% of the financing being equity and 70% being debt. We are in discussions with not only financial – potential financial backers, but also people who are more industrial related. And I would expect that more will be coming in the future.
Colin Rusch: Okay, great. Thanks. And then, just shifting to the stationary power opportunity for you guys, having a product in the market is meaningful. Can you talk a little bit about the customer dynamics, how far through the testing process you are, with any of those folks? How big that funnel is, and a little bit of detail around the fuel logistics for those gensets?
Andy Marsh: Yeah, I think that we’re really beginning to do the first deployment in the second quarter call. And that, we do have both customers in the data center space, as well as in the logistics space, which quite honestly, the issues in California really has accelerated some of that discussion. I think it’s a business that you probably won’t see meaningful revenue through 2022. From my perspective, the funnel continues to grow. You see activities not only – I’ve kind of mentioned the logistics operations with our present customers. You see activities with the data center customers. You also see activities with people thinking about micro-grids. So it’s a real interesting opportunity. But you actually hit on a question I spend a lot of time thinking about, is that, how one thinks about the hydrogen for these solutions? And do they become almost depot points, also to support other customers? So you could see hydrogen, as data center or logistics center being generated on site, provide backup, but that also could be a point of distribution. And we actually do a model like that for The Southern Company, which during this past hurricane we really demonstrate the success of. So we have 500 small-scale backup power systems, with 500 small scale backup power systems for The Southern Company. And we actually service them from one or two of our customers, for distribution customers. So – but that is actually one of the more interesting opportunities. And because we have uses for hydrogen in so many applications, that it kind of – it kind of really makes sense, because you’re system guys and you have to always think about how systems all fit together. That’s a really interesting question.
Colin Rusch: Yeah. That’s incredibly helpful, Andy. Thanks so much, and I’ll pass it on here.
Andy Marsh: Okay.
Operator: Thanks. Our next question is coming from Craig Irwin from ROTH Capital Partners. Your line is now live.
Craig Irwin: Good morning and thanks for taking my questions.
Andy Marsh: Good morning, Craig.
Craig Irwin: Hey, Andy. Congrats on a really solid quarter here. I mean, it’s nice to see Plug really showing that it can deliver. What I wanted to ask about is the EBITDA. This is a really impressive result. Can you maybe talk about what’s going right for you on the earnings side? Where do we need to focus to see whether or not this kind of performance is sustainable over the next couple quarters? I know, your guidance is more conservative, and you tend to give conservative guidance. But can you talk us through sort of some of the things you’re learning that’s allowing you to deliver really strong EBITDA on the bottom line?
Andy Marsh: That’s a good question, Craig. And, first, I think [TGE report] [ph] that is delivering on this next fourth quarter [we are] [ph] increasing guidance. But if I then take a step back, I think one of the critical items is announcement of the next pedestal customer. Jose Crespo, our EVP of sales is actually working with 4 customers, 2 in Europe, 2 in North America, who could be that next pedestal customer. And if I was monitoring Plug, that’s an item I would monitor. I would be monitoring – are they making an announcement for large scale backup power systems and on-road vehicles, that could be meaningful to 2024 revenue. So that would kind of be another guidepost I would use. And then, I would look at our success, look, I’m saying we’re breaking ground by the end of the year on two sites. I would be looking for some meaningful announcements and more details about those 2 sites with hydrogen. So that’s kind of my PowerPoint for the next 90 – and 450 days, and they’re the kind of things I’m looking for to make sure we’re on track.
Craig Irwin: Thank you for that. So usually when Plug has such a strong quarter like this, the stock responds very favorably, very positively. But the stock is maybe a little bit more tepid than many of us would have expected. It seems like your guidance, the raised gross bookings – or gross billings guidance implies $84 million to $89 million in the fourth quarter, and consensus is out there at $90 million. Can you maybe tell us if there was something put forward in the third quarter from the fourth quarter? Is there something seasonal where some of your pedestal customers can’t take deliveries in the Thanksgiving/Christmas holiday period, because it interrupts their sales? What’s going on there with the sequential revenue progression given that you’ve had such a strong quarter now and it doesn’t read as strong? Is this just conservative? Are you just giving us numbers that you’re very confident to make?
Andy Marsh: Craig, I’ve learned to be – I’ve done this for a dozen years. I’ve been less wrong recently than I’ve been in the past. So I am – it’s taught me to be conservative. That being said, I think you also make another really valid point. My major customers are in the logistics business associated with the – and their big businesses’ season is the holiday season. And during the holiday seasons, they don’t want to change everything. They spend all year preparing. And so I think you see the mix of customers in the fourth quarter – different and this happens every year. You see more activity in the auto space and manufacturing in the fourth quarter than we generally see earlier in the year, and less in the logistics space. So I think, again, this next quarter is going to be incredibly stronger in the fourth quarter of 2019. And we see the first quarter of 2021 increasing dramatically from the first quarter of 2020. So we’re seeing the progress all on.
Craig Irwin: Thank you for that color. My next question is about UHG and the Tennessee plant. So can you just give us a little bit of color? I guess, color is a good pun. Do you consider this a green/gray/blue hydrogen plant, given that you are using waste hydrogen of one of oil and chemicals plants? And can you maybe comment about the carbon intensity of that plant on a relative basis versus the other plants that produce hydrogen for transportation and then fuel cells in North America?
Andy Marsh: Sure. So, one, what do I consider. I think it’s fair to consider it a blue hydrogen plant. And just – and I think, Craig, you mentioned I’m conservative about definitions. And I think a pure green hydrogen plant is one that is coming from hydro power, coming from wind, coming from solar. Even though, look, the plant in Tennessee, that hydrogen would just be burned off in the air if we weren’t using it. From a CI score, we’re actually doing a deep, deep dive at the moment. And our goal is a CI score for that plant that we get to about a 50 CI score, and at the pump. And our other goal is that, Craig, we’re looking to ultimately deliver that hydrogen using fuel cells and green fuel cells and green hydrogen to bring it to the customer. So there’s less of an impact from wells to wheels, but I look forward to telling you more about that. We’re having a detailed study going on at the moment. Hello? Craig?
Operator: Thank you. Our next question is from Eric Stine from Craig-Hallum. Your line is now live.
Eric Stine: Hi, Andy.
Andy Marsh: Hi, Eric, how are you?
Eric Stine: I’m doing fine. How are you?
Andy Marsh: Good.
Eric Stine: Good. So I jumped on a little late. I apologize, if I’m going to cover some things you already have. But it was so curious, I know, you’ve talked about 4 on-road programs, you’re targeting mid-2021, where we can see some movement there and where could start to contribute to revenues. But I know you’re also talking about a large OEM in Europe. So I mean, curious, is this a – is that 1 of those 4? Is this a new customer or partner? And then, maybe what we can look for as part of that relationship?
Andy Marsh: Sure. So it is 1 of the 4, Eric. And – before you joined the call, I mentioned we have deals going on with Linde, Doosan and Lightning at the moment. We have the 4th OEM. I think about this market, I think about, there’s going to be 2 channels, mainly the market force. One is partnerships or ventures with the large OEMs. And another one is leveraging our standard products to the integrators. I don’t want to be – there is 4 programs are ongoing, 2 in Europe, 2 in the U.S. Look forward to making more announcements as soon as possible. But I – these discussions are always take slightly longer than I expect. I can tell you I expected to announce the United deal in early March, and I announced it in early June or late June. So I’ve learned to be a little cautious, but meaningful discussions and plans are ongoing, and hope to be telling you that more about it soon.
Eric Stine: Got it. Okay, and then last one for me just on pedestal customers. You’ve talked about that you hope to sign one by the end of 2020. Curious, if that still the outlook. And then, I mean, is it still, I think, you said in the past to get to your 2024 goals that you target 6 to 7 in total, wondering if that’s still the number as well.
Andy Marsh: Yeah. I think the number 6. And so earlier in the call, if I mentioned that Jose is working with – Jose Crespo, our EVP of Sales is working with 2 potential pedestal store customers in the United States, 2 in Europe. And we still expect that we’ll have 1 done by yearend.
Eric Stine: Okay. And you said 6 is kind of the number you’re targeting for 2024?
Andy Marsh: That’s correct.
Eric Stine: Okay. Thanks a lot.
Andy Marsh: Okay. Thanks, Eric.
Operator: Thank you. Next question today is coming from Christopher Sadler from B. Riley. Your line is now live.
Christopher Sadler: Hey, guys, thanks for taking the question. First, I wanted to see if you could walk through some of the warrant mechanics. So as of the second quarter, about half of the Amazon warrants had vested in smaller portion of the Walmart onetime. I thought these were typically what paid in installments as those tranches hit. It was just a matter of very large orders during the quarter or exercise some of those warrants could do kind of remind us how the math works on that?
Andy Marsh: Sure. I’m going to tell you – I’m going to start off and then I’m going to hand it off to Paul, Chris. So the warrants actually get charged against each order. So the – I know, this may be hard for folks understand. The higher warrant charges, which is a non-cash event is actually a real positive. So one of our pedestal customers in the third quarter actually exceeded the tranche, where the warrant price gets reset. And the warrant price is reset at a rate that’s actually 10 times higher in cost and the original warrants, which is a real good item and those warrants strike price is over $13 versus the original strike price of $1.19. Yeah, why it really says with these increased warrant charges is that you’ve seen increased purchases of our products. And I think, from the last time, I would highlight the fact that the stock is doing so well, and the fact that those strike price for the warrants is now, 11, 12 times higher, it ultimately means less dilution for shareholders. So, though, it’s somewhat hard to seeing, maybe in GAAP financials all the time, this less dilution is really, really good. And something we negotiated 3 years ago to protect shareholders, and it’s really proven now. So Paul, would you like to add to this from an accounting point of view?
Paul Middleton: Yeah, I think, you covered it, Andy. It’s really 2 factors in terms of the jump in the cost rate from a GAAP basis, which is increased purchases, and then moving into the final tranche, which now the price has been set, because it’s 10 times, we use the Black-Scholes methodology, which is the proven accounting approach to use. And those are worth that the cost value is higher, so you just get a book effect, which, as Andy said is non-cash. But those are the 2 drivers that drove that that increase and that’s why you see the delta change in the quarter.
Christopher Sadler: Got it. And then on the opportunity within backup power stations you targeted that as a portion of the $250 million by 2024, maybe just from a high level. Do you see this progressing similar to material handling, where it’s several kind of key customers that are going to be doing kind of lion’s share? And how many customers do you think you’d need to kind of hit those longer term targets? It’s going to be kind of announcements like that that gives visibility, just wanted to get an idea of what the ramp and pipeline should look like there?
Andy Marsh: I think, Chris, that’s a good question. And I think there are some differences. One, I think you’re absolutely right, that the initial ramp of that business will be more associated with large customers or large earners of data centers, yeah, I think we know some of those names. And I think that’ll be the initial success. But, as well as maybe with some of our present logistic customers, I think, ultimately, large scale diesel generators are going to have more and more, I’ll say, policy pressure and customer pressures. And that, I think that you’ll see more and more enterprise opportunities, pick a hotel, where you may have a large scale diesel generator set today in a city that won’t allow it anymore. And thinking through those models, and how they go to market, probably is a post-2024 activity. I do think it’s really a large market opportunity, which will first take-off with big customers, but take-off because of policy, both the customers’ policies and government policies. And, yeah, it’s a real, real interesting opportunity.
Christopher Sadler: That’s helpful. And then, just last one, I want to see if you could walk through some of the moving pieces on the fuel margins. Obviously, the sales are up a bit, gross margins were down, I assume hydrogen is settled in there. I was curious, if there any kind of onetime items, how we should think about kind of the ramping margins over the next few quarters there, as you start to make it down with some of the integration of green hydrogen strategies.
Andy Marsh: Paul, do you want to talk about the margins, because I think the margins probably are better on a non-GAAP basis.
Paul Middleton: Yeah, if you look on a non-GAAP basis, it was effectively breakeven for the quarter and I think what you’re saying is the benefit of the United Hydrogen starting to kick in. And, as we’ve talked publicly, we’re actually investing to ramp additional capacity out of that existing facility, and that starts to kick in and we’re able to utilize that, you’ll see continued progression. And, I think, as we move into next year, we’re actually thinking – I mean, we’re continuing to invest in increased efficiencies in the systems making big strides. So I think directionally, you’re going to continue to see great leverage in that product line, as we start to leverage the existing facility, we have leverage existing capacity, we have invested in efficiencies, and then, as early 2023, when the new capacity comes online, there’ll be again, another big step function. So, we’re pleased with the direction that we’re making and the efforts, and I think you’re going to continue to see that that continue to play out.
Christopher Sadler: Understood. Thanks for the color. I’ll hop back in the queue.
Operator: Thank you. Our next question is coming from Jed Dorsheimer from Canaccord Genuity. Your line is now live.
Andy Marsh: Hi, Jed.
Jed Dorsheimer: Hi, thanks. Hey, guys. A couple questions. I guess, Andy, first, if I just kind of read between the lines, you sound a lot more bullish and optimistic that I’ve heard – then I’ve heard in the past, so it could just be, me misunderstanding, but around backup power. And so, I guess, I just wanted to unpack that a little bit? And I’m curious, is your optimism, it’s more market dynamics, in terms of what you’ve seen unfold over the past 90 days or so? Or is it have more to do with your 2 acquisitions, because, I would think that, maybe United and Giner would – is that what changed it? Or have you always been this bullish, and I’ve just thought wasn’t paying attention to that.
Andy Marsh: Jed, if I think, your read of me is correct. If you would have sat down with me 1.5 years ago, you would have never heard me be so positive about the backup power market, and, I think, what primarily changed. Is that – I’m hearing it from customers, people who would be users of these products. So I’ll give an example, when National Hydrogen Day, which I’m sure everyone is here celebrated, I was on a panel with Microsoft. And Microsoft explained why hydrogen was the right solution for data centers in the future, and they’re believing that it’d be cost competitive with internal combustion engines by 2024. I think it’s a – those sort of bullish notions, I also hear from our logistic customers. And then, finally, I think you hit on another point that our ability to provide a full system solution with electrolyzers as well as ability now to distribute hydrogen, which I think it’s going to be important for large scale backup power. As all – the combination of both of them have made me more bullish about this market.
Jed Dorsheimer: Got it. I wonder, I think one of the challenges for you and other companies in this space is changing the conversation. You had just mentioned in terms of compared to traditional internal combustible, but it seems like the efficiency compare as well as even the negative externalities, really isn’t the competition. So for example, in the battery backup, and this is why I asked the question, and in particular, the – your acquisition of United, the fact that when you look at the complexity of the grid and the fact that in California, utilities are actually shutting off solar in the middle of the day to keep from substations blowing up that that generation and those electrons could be used somewhere to gain some value versus just shuttering it. Therefore, your comparison is to, I would think akin to driving through Trenton and looking at the flaring of refineries that that energy is just going into the sky. And in the same way hydrogen seems like that’s the lowest hanging fruit. So you don’t get in this really physics ending conversation comparing the storage to that of lithium ion or other storage solutions, where hydrogen has a lower down conversion in the round trip of that energy.
Andy Marsh: Yeah, I think there’s an interesting point, Jed. When I think about it, so I think, I’m going to answer your question too. First, I think you hit on this very valuable point. So 2 other points. One thing about storage, there has been significant work done by people like Jack Brouwer, UC Irvine, by the DOE, that kind of shows that from an energy density point of view, from a cost point of view, that after about 11 hours, hydrogen is in that storage medium. In a place like California, you not only have to think about inter-day storage, but long-term seasonal storage. I think the other point I would make is that, when you take think about short-term storage, and you’re creating it for to hydrogen, for example, in California. The value of that hydrogen as a fuel, which is really needed, is actually more valuable than going back into the grid, or being pumped in the natural gas line. So I think when you think about fuel cells and hydrogen for the long-term storage, hydrogen is really clear. But for short-term storage, it actually makes – create more value using hydrogen as a fuel, B2B using hydrogen and just creating it back to electricity and putting it on the grid.
Jed Dorsheimer: Got it. So I guess where I’m going with all this is, as you think of the business and you think of the – you’ve provided targets in 2024. That was largely based on a model that was primarily that of fuel cells with a slight contribution in terms of hydrogen production. Are you rethinking that in the context of these – this increased optimism with respect to hydrogen production, which seems to – backup which seems to be skewed more heavily to that of the production, as you just mentioned, in terms of short-term and the value of that fuel that’s being created? And then I do have 2 more follow ups?
Andy Marsh: Sure. So Jed, we think every day about how to accelerate the growth of the business. And having done this for a dozen years, we try to make sure we focus on putting numbers out there that we feel comfortable with that we can get, so that I don’t have a bad earnings call. That being said, I think, we’re just beginning to touch on the value of hydrogen in the marketplace. And, when I think about it, it’s almost like I think this is going to be a play in market where folks who – like wireless networks who build out the hydrogen generation that’s green will get it fastest, will get an unfair share of the market. And our goal was to get an unfair share of the market.
Jed Dorsheimer: Got it. So 2 questions for Paul. Thank you, Andy, by the way.
Andy Marsh: You’re welcome, Jed.
Jed Dorsheimer: Paul, first question is just how to think of, you’re beating on billings as well as increasing outlook on billings, but revenue is in line. And I’m just wondering, should we think about this quarter is indicative in terms of the ratio between revenue racking in billings, or was this an anomaly?
Paul Middleton: Well, gross billings versus gross revenue is equivalent, it’s just the term that we use. So the only difference is the warrant charges in terms of how that’s reflected in the financial. So the gross billings reflect really the commercial revenues that I’ve recognized in the quarter. So the tracking that you’re saying is directly correlated to the activity underlying the business. So it’s – I think, from a modeling standpoint, I think, we can talk about, percentage of sales and stuff like we’ve done in the past, and how that might play out in the future. But from an underlying business perspective and then just understanding the dynamics think about that being a true reflection of the shipments and deliveries that we made in the quarter and as we progress, I think, they’ll continue to be correlated. I hope that’s helpful, Jed.
Jed Dorsheimer: It is. Got it. My mistake on that. So second question and last one for me. So, Paul, you were quoted in terms of saying that, I think, in a publication, one of the most important things for Plug would be that of the ITC tax credits for vendor financing. And with the administration change, which would seem to put into a scenario analysis of more favorable spin to your outlook. I’m just wondering, if you could just expand upon that, because it seems like for me, it was the first time that I heard that from you guys. And I’m just wondering, how if you could articulate, I’m assuming that that’s for your customers financing the equipment. But I was wondering, if you could just speak to that a little bit.
Paul Middleton: Yeah, I think, there’s many factors in general, I mean, I think it’s one is, as opposed to maybe the most important. But I would say, the most efficient play to monetize tax benefits and finance the projects, it’s in the traditional bank market, it’s where our customers often go to, for those that use traditional models. I mean, a lot of customers lease their trailers and their forklifts and their other operation asset. And they – and too, they often lease their forklift, the fuel cell systems. And so, because it’s eligible for the investment tax, but they go the traditional market, the traditional banks. But what you’ve seen this year is in the market in general, and this is true for solar and wind and others, is that a lot of the banks have had losses from COVID and other effects going on in the market. And obviously, when you reduce your taxable income, you kind of impact the available investment tax capacity in the market. So, I think, as we go forward that – I think my discussion previously when the quotes, I think were around ways that things could be beneficial. Obviously, I think, first, foremost economy picks up, the banks have more income. Secondly, things like the 1603 grants, if they were to reinstate that, that’s a big change in terms of benefits of being able to access the market not dependent on having the taxable income, so we have take the credits. So it’s more about just making it easier to access the banks and not just for Plug with customers, in general, and those things can be enablers. But fortunately, we’ve got enough traction outside of that, that it’s not the sole factor, I guess, the best way to think about is just we don’t want too many dynamics. And we’ve had many customers who sign on and don’t take the tax credits and still yield tremendous benefits. And in the programs, and so, as I said, it’s just one of many dynamics that we think about in terms of opportunities.
Operator: Thank you. [Operator Instructions] Our next question today is coming from Amit Dayal from H.C. Wainwright. Your line is now live.
Andy Marsh: Hi, Amit. How are you?
Amit Dayal: Good morning, Andy. Thank you for taking my questions. Congrats on the strong quarter by the way. For the 2 plants, Andy, you are breaking ground on. Could you give us a sense of sort of the completion timeframe? And then how should we think about utilization levels ramping at these facilities?
Andy Marsh: Sure. So, 2 plants: one, which will be in the Northeast; and one, which will be in the Southwest and middle come online in the second half of 2022, probably the fourth quarter 2022. And we would expect that those plants would be fully utilized, I would say, by early 2024.
Amit Dayal: Understood. Thank you for that. And do you have a sense of maybe sort of the margin impact from these plants, getting to full utilization in the 2024 period? Yeah.
Andy Marsh: So a full utilization, we expect these plants to be in line with a 30% to 35% gross margin.
Amit Dayal: Wow. Thank you. That was really helpful. And just sort of when you look at these warrants, right, previously, there seemed to be a little bit of an overhang. But do you feel these are now sort of a little bit of an edge, protecting or has protected the business from maybe competitors, et cetera, given that these large pedestal customers were tied to just – not really being able to go to anybody else, but you guys?
Andy Marsh: I think the key item is that we need to perform for our customers every day, and focus on providing our customers value. And that’s really – next preparing for calls like this, Amit, I don’t spend a lot of time thinking about the warrants. I think about how to keep on making sure that Plug Power is delivering value for our customers.
Amit Dayal: Understood. Just one last one, with respect to sort of your 2024, 2025 guidance, what’s the contribution from Europe expected to be towards that guidance?
Andy Marsh: Yeah, I would expect Europe – if I look at next year, I think Europe contributes 10% of our revenue. And I would think by 2024, you can expect it being in the 15% to 20% range.
Amit Dayal: Understood. Yeah, that’s all I have, Andy. Thank you so much.
Andy Marsh: All right, take it easy, Amit.
Operator: Thank you. Our next question today is coming from Moses Sutton from Barclays. Your line is now live.
Moses Sutton: Congrats on [indiscernible] execution.
Andy Marsh: Moses.
Moses Sutton: Hi, how is it going, Andy?
Andy Marsh: Okay, Moses. You’re last but not least, Moses.
Moses Sutton: Oh, thank you very much, for squeezing me in at the end here. And apologies if I missed this before, but did you provide 2021 adjusted EBITDA target? Or just even if you could speak more generally, is the EBITDA margin going to be above 15%, are we looking at $60 million $70 million range off of the $450 million in billings? Any sort of directional view there would be quite helpful. Thanks.
Andy Marsh: Paul, are you there?
Paul Middleton: Yeah, I’m sorry I was [purview on my] [ph] response.
Andy Marsh: Okay.
Paul Middleton: We haven’t given that guidance, Moses. I mean, I think – I guess, at this point, what I can tell you is it will definitely be higher. But we haven’t really provided that. We know – we see in the pipeline, the sales are going to be higher, and we see continued progression and margin profiles for all our product line. So we’re very confident that we will continue to be accretive and go up. But we haven’t given a specific range yet. But we have a business plan lesson for – scheduled for January, end of January, as we do every year. And at that point, we might be in a better position to give you more specificity.
Moses Sutton: Great, looking forward to that. And maybe to, I guess, in the call here on this really out-there question, would you ever consider integrating some ownership of solar and wind assets, truly controlling the full integration from electricity generation to hydrogen production, and its use? Maybe there could be some synergies there. These assets are easy to operate with third-parties. Why not control the very full process, ultimately, one day? But I know that’s an out-there question for you, Andy.
Andy Marsh: Well, Moses, I think we bitten off enough with our plans at the moment. And when you have such good partners like Apex and Brookfield, I don’t see any need to get into their business. So our plan at the moment is to work with partners. And I think as you know, this activity is being driven by Sanjay Shrestha. And Sanjay has been really – really has been working with folks that make sure we have rates which allows us to generate competitive green hydrogen.
Moses Sutton: Great, great, exciting stuff. Thanks again.
Andy Marsh: Okay. Thank you, Moses.
Operator: Thank you. We reached the end of our question-and-answer session. I’d like to turn the floor back over to Andy for any further or closing comments.
Andy Marsh: Well, thank you, everyone. I really enjoyed our discussion today, been really pleased with the quarter. It’s going to be another great fourth quarter. And look forward to talking to many of you in the near future. Thank you.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.